Operator: Good morning, and welcome to the Ryder System Fourth Quarter 2018 Earnings Release Conference Call. All lines are in a listen-only mode until after the presentation. Today's call is being recorded. If you have any objections, please disconnect at this time. I would now like to introduce Mr. Bob Brunn, Vice President, Investor Relations, Corporate Strategy and Product Strategy for Ryder. Mr. Brunn, you may begin.
Robert Brunn: Thanks very much. Good morning, and welcome to Ryder's fourth quarter 2018 earnings and 2019 forecast conference call. I'd like to remind you that during this presentation, you'll hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors and reconciliation of each non-GAAP financial measure to the nearest GAAP measure is contained in this morning’s earnings release, earnings call presentation and in Ryder's filings with the Securities and Exchange Commission for available on Ryder’s website. Presenting on today's call are: Robert Sanchez, Chairman and Chief Executive Officer; and Art Garcia, Executive Vice President and Chief Financial Officer. Additionally, Dennis Cooke, President of Global Fleet Management Solutions; John Diez, President of Dedicated Transportation Solutions; and Steve Sensing, President of Global Supply Chain Solutions, are on the call today and available for questions following the presentation. With that, let me turn it over to Robert.
Robert Sanchez: Good morning, everyone, and thanks for joining us. This morning, we'll highlight some of our key accomplishments during 2018, provide a brief overview of the fourth quarter results and discuss our outlook for the current year. Turning now to our results. Let's begin with an overview of full-year 2018 versus the initial forecast we issued last February. Overall, we're pleased that we delivered across the Board in terms of accomplishing our 2018 key financial targets. We're also encouraged by the progress that we made last year on our strategic initiatives to drive long-term profitable growth. Full-year comparable EPS of $5.79 exceeded our initial outlook of $5.40 to $5.70, primarily due to rental outperformance and the benefits of multi-year contractual revenue and fleet growth. Operating revenue growth exceeded our expectations in all three business segments, reflecting ongoing secular trend that favor outsourcing and the results of our sales and marketing initiatives. Our lease fleet grew by a record 9,600 vehicles, 40% higher than our previous record achieved in 2015. 2018 is our seventh consecutive year of organic lease fleet growth with around 40% of new lease sales from customers who are new to outsourcing. Used vehicle inventory was at the midpoint of our target range while we expanded our retail and online sales capabilities in order to maximize sales proceeds. Free cash flow was lower than forecast, primarily reflecting our outperformance and contractual lease sales. Finally, our ROC Spread reflected positive and came in ahead of our forecast for the year. Page 5 highlights some of the key strategic initiatives we undertook last year to drive long-term profitable growth and capitalize on disruptive trends in transportation and logistics. During 2018, we generated our second consecutive year of record contractual sales growth. With an average lease contract term of six years, the recurring revenue and earnings from these contracts positions us well for 2019 and beyond. We expanded our Last Mile capability for big and bulky goods through our acquisition of the MXD Group, making us a leader in this fast growing e-commerce space. We launched COOP by Ryder, the first and only commercial trucks sharing platform. Building off of the success and learnings from our pilot in the Atlanta market, we're expanding into the Florida market in 2019. We continue to leverage our strategic partnership with new electric vehicle OEMs and executed a customer agreement for a thousand commercial electric vehicles. The largest deal of its kind in the U.S. We are also leveraging innovative technologies to provide improved capabilities and efficiencies for our customers. For example, in-cab camera technology is resulting in better safety performance, RyderGyde providing our customers with access to a suite of fleet management activities from a mobile device and smart warehousing capabilities to improve productivity and drive cost savings for our supply chain customers. Lastly, we successfully implemented a new zero-based budgeting process which drove significant cost saving in 2018 and which we will continue to leverage to achieve further savings in the years ahead. Overall, we are very pleased that we were able to exceed our key financial objectives in 2018, while at the same time making significant investments to support our long-term success for the business. I'll now turn the call over to Art for a brief recap of our fourth quarter results.
Art Garcia: Thanks, Robert. Starting on Page 7, comparable earnings per share from continuing operations were $1.82, up 33% from a $1.37 in the prior year. Comparable results were also above the midpoint of our forecast range of $1.75 to $1.85 driven by better than expected performance in ChoiceLease, commercial rental and a lower tax rate, partially offset by additional accelerated depreciation. Based on our near-term outlook for used vehicle pricing, we extended accelerated depreciation on vehicles we expect to make available for sale through the middle of 2020, which impacted Q4 2018 results by $10.6 million more than our forecast. Previously accelerated depreciation extended through the middle of 2019. Operating revenue grew by 13% to a record $1.8 billion for the quarter. We achieved double-digit revenue growth in all three segments, reflecting new business and higher volumes. Sales activity was strong and we realized record contractual sales for the second year in a row. Page 8 includes some additional information for the fourth quarter. Comparable EBITDA was $555 million up 17% from the prior year primarily due to growth in our contractual businesses and strong rental performance. The average number of diluted shares outstanding was relatively flat reflecting our anti-diluted share repurchase program. Comparable tax rate was 20.5% down from the prior year's rate of 30.4%, reflecting a lower federal tax rate from U.S. tax reform. Finally, the spread between adjusted return on capital and cost of capital increased to positive 10 basis points, up by 30 basis points from the prior year. I'll turn now to Page 9 to discuss the key trends we saw in the business segments during the quarter. Fleet Management Solutions operating revenue grew 10% with growth in all product lines. ChoiceLease revenue increased 8% due to fleet growth and higher rates on replacement vehicles. The lease fleet increased by 4,000 units sequentially. Commercial rental revenue was up 19% for the quarter, driven by 17% higher demand and 3% higher pricing. Rental utilization on power units was 81.6%, up slightly from the high levels we saw in the prior year and reflecting strong demand from our lease customers. Overall, FMS earning improved significantly due to higher lease and commercial rental performance. Earnings before tax increased 16%, while pretax earnings on operating revenue were up 40 basis points to 9.1%. Page 10 summarizes key results for used vehicle sales. Used vehicle inventory held for sale was 6,900 units at quarter end near the middle of our target range. Inventory increased by 700 vehicles sequentially, reflecting a greater number of units coming off lease. We sold 4,500 units during the quarter up 13% versus the prior year and up 10% sequentially. For the full-year, we sold 17,500 vehicles in line with the prior year. Proceeds per vehicle sold were up 18% for tractors, and up 8% for trucks compared to a year ago, reflecting modest market price increases and a younger age of units sold. Adjusting for a younger average age sold comparable pricing was up low-single digits sequentially. I’ll turn now to Page 11 to discuss the Dedicated business. Operating revenue grew 18% reflecting new business and higher volumes. DTS earnings increased 2% due to revenue growth, partially offset by continued and unusual startup costs on a customer account that we highlighted last quarter. We've made operational and contractual changes to this account and expect results on this account to significantly improve in the first quarter and be on track beginning in the second quarter. We've made operational and contractual changes to this account and expect results on this account to significantly improve in the first quarter and be on track beginning in the second quarter. Segment earnings before tax as a percent of operating revenue were 6.8%, down a 100 basis points from the prior year. I'll turn now to supply chain on Page 12. Operating revenue group 19%, largely reflecting increased volumes, new business and higher pricing. Revenue growth also reflects the 2Q acquisition of the MXD Group, now re-branded as Ryder Last Mile. Excluding the acquisition, operating revenue was up 13%. SCS earnings before tax were up 18%, primarily due to revenue growth. Segment earnings before tax as a percent of operating revenue were 6.6% for the quarter, down 10 basis points from the prior year. Turning to Page 13, full-year gross capital expenditures were $3.2 billion, up $1.2 billion from the prior year. This increase primarily reflects higher investments to grow and refresh the lease and rental fleets. We realized proceeds primarily from the sale of revenue earning equipment of nearly $400 million, generally in line with the prior year. Page 14 summarizes cash flow. We generated $2.1 billion of total cash for the year, up by around $60 million from the prior year. Free cash flow was negative $944 million, down significantly from the prior year, primarily reflecting capital spending to support record contractual Leigh sales  Debt-to-equity at the end of the year increased to 228%, up from 191% at the end of 2017, and reflects investments in fleet growth, as well as two acquisitions. Year-end leverage is also above our prior estimate of 210% due to a year-end pension and foreign exchange impact and to a lesser extent lower free cash flow. Balance sheet leverage was near the midpoint of our 2018 target range. At this point, I'll turn the call back over to Robert to discuss our 2019 outlook.
Robert Sanchez: Thanks, Art. Pages 16 and 17 highlight some of the key assumptions for our 2019 earnings forecast. Overall, we expect higher earnings driven by contractual revenue growth following a record sales year in 2018 and a strong pipeline going into 2019. These benefits will be partially offset by our strategic investments and it's somewhat lower expected net use vehicle results. We expect moderate growth for the overall economy with a rising interest rate environment. In fleet management, we're forecasting at lease fleet growth of 11,000 vehicles, 15% higher than the record growth we achieved in 2018. We have a high degree of visibility to this growth as extended OEM lead times have pushed the delivery of more of the second half 2018 sales into 2019. We expect rental to grow nicely driven by rental activity from new lease customers as well as expansion of our light and medium duty truck capacity to leverage ecommerce driven growth. We expect rental demand to increase by 7% consistent with our lease fleet growth, pricing to increase by 3% and utilization to be more normalized following a very robust 2018. We plan to grow the average rental fleet by 3,000 vehicles or 7%. Higher capital spending to fund record lease fleet grow more than offset lower rental spending resulting in negative free cash flow. Total cash generated is expected increase 22.5% to $2.6 billion reflecting returns from several years of contractual growth. We are expecting year-over-year headwinds of $11 million from elevated maintenance costs on model year 2012 vehicles. This is less than the $30 million headwind we had to overcome in 2018. These vehicles are expected to mostly exit the operating fleet by year-end. Separately, we're implementing a new initiative and our maintenance operations to improve shop and parts supply efficiency. This maintenance initiative is expected to generate $75 billion in cost savings over a multi-year period with a $20 million benefits expected in 2019. Used vehicle sales results are forecast to be modestly lower in 2019. This reflects slightly lower pricing expectations given higher expected volumes, especially in the second half of the year. We're lowering residual value estimates for vehicles in operation and have extended accelerated depreciation to vehicles expected to be sold in mid 2020. Looking ahead past 2019, if used vehicle pricing remained stable over the next couple of years. We expect the impact from used vehicle sales results and depreciation in 2020 and 2021 to be similar to the impact that we expect to see this year 2019. By 2022 pricing and book values will have largely reach parity and we would no longer expect to need any accelerated depreciation nor see headwinds from used vehicle sales. Turning to Page 17. Record 2017 sales activity, higher pricing and volumes are expected to drive double-digit revenue growth in DTS. Dedicated earnings will benefit from revenue growth and improved operating performance, partially offset by favorable insurance developments, realize in 2018 that are not currently forecast for 2019. We expect supply chain to realize full-year revenue growth with strong growth in the first half, tempered in the second half by some no loss business and lapping growth from a large account that ramped up in mid-2018. The team is strongly focused on new sales to help address this issue. Earnings are expected to benefit from revenue growth, higher pricing and improved operating performance, partially offset by strategic investments. We are expecting continued savings from our Zero Based Budgeting program that will help fund strategic investments in sales and marketing, new product development and technology which are focused on driving long-term revenue and earnings growth. Finally, we plan to continue to purchase shares under our 1.5 share anti-dilutive repurchase program. I'll now turn the call over to Art to discuss the impact from the new lease accounting standard.
Art Garcia: As we discussed on our third quarter call, the FASB has issued new guidance on lease accounting, which Ryder will adopt effective January 1, 2019 and be reflected in our first quarter Form 10-Q. At a high level the new guidance requires that we separate the lease and non-lease components of our ChoiceLease product. The non-lease or maintenance component, which is typically 35% of total revenue will be recognized as services are expected to be provided instead of how they're built. As such, rather than recognizing the maintenance portion of revenue on a straight line basis, maintenance revenue will increase during the life of the lease contract. Importantly, this change, the timing of revenue recognition will not impact the cash flow or total earnings over the life of the lease contract. We will incur a material one-time after-tax cumulative adjustment to recognize deferred revenue. This adjustment will reduce shareholders' equity and increased leverage. As this is a non-cash charge, we are revising our debt to equity target range to 250% to 300% to reflect the impact from the accounting change. The revised range will allow us to maintain a solid investment grade credit rating. On an ongoing basis we expect the earnings volatility associated with changes in fleet age to be reduced as maintenance revenue will be better aligned with maintenance costs. Given typical maintenance patterns, more revenue will be recognized during the second half of a lease, since maintenance costs increase with age. The annual impact to our results will vary depending on among other factors, the distribution of lease fleet by age, vehicle tight and lease term and the percentage of leases filled with new versus used equipment. Based on these factors, a $0.20 decrease to earnings is included in our 2019 forecast to reflect the expected impact from the new lease accounting standard. This decrease primarily reflects an expected decline in fleet age. We estimate a $0.25 increase to our full-year 2018 EPS and a $0.07 increase to Q1 of 2018. This is driven primarily by fleet aging in 2018 as most of our lease fleet growth during the year was backend loaded. We plan to file a line item restatement of our 2017 and 2018 results under the new lease accounting standard with or before the filing of our first quarter 10-Q. You can find more detail about the impact of this accounting change in Ryder’s white paper that is available on our IR website at investors.ryder.com. I'll hand the call back over to Robert now to provide an overview of our 2019 forecast starting on Page 20.
Robert Sanchez: Thanks, Art. Based on the assumptions I outlined, we expect operating revenue to grow 9% with revenue up in all business segments. Comparable EPS is forecast in the range of $6 to $6.30 for 2019 as compared to $5.79 last year, and increased 4% to 9%. This reflects strong growth in our contractual products, cost benefits from ZBB and a new maintenance initiative and solid rental performance. These benefits are partially offset by strategic investments, impact from used vehicle sales, higher interest in insurance costs and elevated maintenance costs on certain older model year vehicles. The forecast is also impacted by lease accounting, which lowers EPS by $0.20. Excluding the impact from lease accounting in both years, earnings per share would have been forecast to grow 7% to 12% from $6.20 to $6.50. Comparable EBITDA is forecast to increase by 17% to almost $2.4 billion reflecting the benefit from multiyear contractual growth. The spread between adjusted return on capital and cost of capital is forecast to increase to 20 basis points, up 10 basis points from the prior year. Page 21 outlines our revenue expectations by business segments. Record sales results in 2018 and a strong current pipeline support our revenue growth outlook for this year. In fleet management, operating revenue is expected to increase by 10% which is above our long-term target range, reflecting growth in all product lines. ChoiceLease revenue is forecast to grow by 10%, significantly higher than the 6% growth rate last year driven largely by record fleet growth in 2019 and the revenue impact from vehicles put in service with customers in late 2018. We are forecasting commercial rental to grow consistent with ChoiceLease at 10% and at a lower rate than in 2018. This reflects rental activity from our growing lease customer base and our strategic expansion of light- and medium-duty trucks to leverage these growing market categories. DTS operating revenue is forecast to grow by 11%, a little above the high-end of our long-term revenue growth target. Supply chain operating revenue is expected to grow by 5% with solid growth in the first half of the year, tempered in the second half by no loss business and lapping of a large prior year account ramp up. Page 22 provides a chart outlining the key changes in our comparable EPS forecast from 2018 to 2019. We continue to make strategic investments to drive future growth in revenue and earnings. In 2019, we are planning a $0.47 increase in strategic spending focused primarily on sales and marketing, information technology and new product development. The net impact from used vehicle sales results and higher depreciation expense is expected to negatively impact earnings by $0.38 below the prior expectation, primarily due to the pull forward of additional depreciation into the fourth quarter of 2018 as mentioned earlier. Increased losses on sale and higher depreciation from our annual residual value policy change will partially offset lower accelerated depreciation versus the prior year. Higher market interest rates and liability insurance premiums are forecast and negatively impact EPS by $0.27. Elevated maintenance expensive of $0.16, on certain older model year vehicles will negatively impact earnings, but to a lesser extent than in the prior year. Higher compensation expense is expected to reduce earnings by $0.16 this year. This includes standard merit increases as well as the accounting impact of a plan design change for our LTIP, partially offset by lower plan bonus expense. Turning to the positive earnings drivers, growth and our dedicated revenue and increased margin, margin should add $0.20. Commercial rental is expected to increase EPS by $0.23 driven by higher demand from an expanded customer base. In supply chain, we expect $0.25 of earnings growth, due to both higher revenue and better operating performance. Cost savings from our ZBB program and the benefits from the new maintenance cost initiatives are expected to benefit earnings per share by $0.47 this year. We believe further opportunities to lower cost and drive efficiencies exist in the future. The largest contributor to earnings in 2019 is expected to be FMS contractual revenue growth, primarily choice lease and to a lesser extent select care, totaling an additional $1.10 per share. This is driven by strong fleet growth in 2018 and 2019 as well as higher pricing. The net impact of these operational items would result in earnings per share of $6.50. As mentioned earlier, the impact from lease accounting is expected to reduce 2019 earnings per share by an estimated $0.20. This brings the high-end of our comparable EPS forecast to $6.30 with a range of $6.00 to $6.30 forecasts for the year. I'll turn the call back over to Art to cover capital spending and cash flow.
Art Garcia: Thanks, Robert. Turning to Page 23. We're forecasting total gross capital spending of approximately $3.6 billion, about $500 million higher than last year as increased investments to grow and refresh our leased fleet more than offset lower rental spending. Plan least spending is up due to significantly higher fleet growth in the forecast as well as normalized replacement spending this year. As a reminder, lease capital is only spent after a customer signs a lease contract. For rental, we're planning to spend $630 million in 2019, down by almost 21%. The decrease reflects significantly lower growth spending partially offset by higher fleet refreshment spending. The replacement spending in 2019 reflects a normalized level for our fleet size. Our investment spending and OP&E is expected to increase by around $110 million in 2019. This reflects FMS operating facility, additions and upgrades. Proceeds from used vehicle sales are forecast to increase 14% to $450 million due primarily to higher expected sales volumes. As a result, net capital expenditures are forecasts that are around $3.2 billion, an increase of around $400 million from 2018. The majority of this capital will be used to support multiple year contractual lease agreements. Free cash flow is forecast at negative $1.1 billion down by about $200 million from the prior year, reflecting higher capital spending to grow, lease and a normalized replacement spend, partially offset by total cash generated, which is up by almost $500 million. With lower expected free cash flow and the impact on lease accounting, debt-to-equity is forecast to increase to 285% at year-end within our revised target range of 250% to 300%. This forecast includes our estimate of a $400 million after-tax reduction to equity as we established deferred revenue related to the new lease accounting standard. Page 24 illustrates how growth capital increases total cash generated and comparable EBITDA over time. As capital is priced in the lease contracts and recovered over the average six-year contract term. On the other hand, free cash flow is pressured by growth capital during the period of initial investment, particularly in high growth years. In 2019 we expect to spend nearly $1.6 billion in growth capital with almost 90% of that to support contracted lease growth. Total cash generated is projected to be nearly $2.6 billion, up almost $500 million from last year and comparable EBITDAs forecasted to be nearly $2.4 billion up by $340 million. Both total cash generated and comparable EBITDA have nearly doubled over the past decade, reflecting returns from multiple years of fleet growth investments. I'll turn the call back over to Robert now to discuss our 2019 forecast and progress on our three-year targets.
Robert Sanchez: Turning to Page 25, we're forecasting comparable EPS of $6 to $6.30 for 2019 versus $5.79 last year. This represents an increase of 4% to 9%, excluding the impact of lease accounting change the year-over-year increase in EPS would be 7% to 12%. We're also providing a first quarter comparably EPS forecasts of $0.96 to $1.03 versus the prior year of $0.91, an increase of 5% to 13%. Excluding the impact from lease accounting change, the first quarter 2019 forecast would be $0.94 to $1.01 which would be a growth rate of 3% to 11%. Page 27, provides our expectations for 2019 results as compared to our three-year financial targets we provided earlier last year. FMS and DTS are expected to beat their operating revenue growth targets reflecting the secular trends driving outsourcing and the positive results we continue to see from our sales and marketing initiatives. SCS is expected to come in below their growth targets due to loss business in the second half of the year. SCS contracts are individually larger, which can lead to lumpiness in the growth rate depending on the timing of new and loss business. Our three-year CAGR for SCS operating revenue growth in 2019 will be 11% and given our pipeline we remain confident in our ability to meet or beat our long-term target of 7% to 8% revenue growth in supply chain. FMS EBT percent is expected to improve year-over-year, but remain below target due to the ongoing impact from used vehicles and maintenance. DTS operating performance is expected to improve, but we'll be just below their target. SCS results are expected to move up into the bottom end of the target range. ROC Spread will improve but will remain below the target. And finally, as mentioned earlier, we increased our target leverage range to 250% to 300% to reflect the non-cash impact of the lease accounting change and we expect to remain within that target in 2019.  That concludes our prepared remarks this morning. Please note that we'll file our 10-K next week, which will contain additional details for your review. Before I turn it over to the operator for the Q&A, I want to take a minute to thank our CFO, Art Garcia for his many contributions to our Company as this will be his final earnings call with Ryder. Art joined the Company in 1997 as a Senior Manager of Corporate Accounting and has held various roles of increasing responsibility including Corporate Controller and over the last nine years is our CFO. Art has not only worked tirelessly to ensure, the highest standards for financial reporting, but it has also been an important voice in the development and execution of our growth strategy. We will all personally and professionally miss Art and wished him all the best in his future endeavors. So now I'll turn it over to the operator to open up the line. Please limit yourself to one question. If you have additional questions, you're welcome to get back in the queue and we'll take as many calls as we can. Operator?
Operator: Thank you. [Operator Instructions] And we will go first to David Ross of Stifel.
David Ross: Yes. Good morning, gentlemen.
Robert Sanchez: Hi, David.
David Ross: Yes, lots of questions. I've got to choose carefully. I guess if we can go to the supply chain segment, which also includes Ryder Last Mile now. I guess two parts to the question. One, how big is Ryder Last Mile and is it margin accretive or dilutive right? And kind of when do you expect to get that in line with the SCS margins? And then the other part is just about the loss business. Why did you guys lose it? What is it – any specific industry segment?
Robert Sanchez: Let me hand that over to Steve.
Steven Sensing: Yes. David, let me talk first on Ryder Last Mile. As we released I think early this year, our e-fulfillment including, e-fulfillment ecommerce and Last Mile in the mid-300 is part of gross revenue. We continue to see modest growth there on the Ryder Last Mile piece. We did see some softness in volume in Q4 with a couple of large legacy customers there. So the team has been focused on execution and peak season. I think we had a very successful quarter and they're out on the streets right now working on new opportunities. I think your second question was around the loss business. And as Robert said, we've got very large accounts. In these situations, it was tied really to the two verticals, primarily the tech and health industry vertical as well as CPG and retail.
David Ross: And the reason for losing it was it just on price, the change in plans or go with a different provider on a bid.
Robert Sanchez: Yes. I'll give you a couple of reasons here. First and foremost, it was below our target NBT number, and one example and another, it was a competitive bid, but we had a competitor that came in below market. So we just hadn't passed on the opportunity. 
Art Garcia: Hey, David. Let me add one thing, I think you asked about the margins for Ryder Last Mile if they were dilutive? Answer to that is no. I think the margins are generally in line with the overall supply chain margins.
David Ross: Excellent. Thank you.
Art Garcia: Okay.
Operator: We will now go to Ben Hartford of Baird.
Benjamin Hartford: Hey, thanks. Robert, I think you had made the comment about if used vehicle prices were flat, you'd have an impact in 2020 and 2021 similar to 2019. I guess the question is, is that the baseline assumption as you think out through 2019, 2020 and 2021 from a used vehicle price point of view? And if so, can you just talk to that three-year target for FMS margins, the EBT as a percent of operating revenue? What does it require to get to the bottom end and the top end of that 10% to 12% range? Thanks.
Robert Sanchez: Yes. Ben, I think the first answer to your question, our assumption is really used vehicle pricing being flat to slightly down, primarily in the second half of the year. So yes, our assumption is generally in line with that, which was – really the point we're trying to make is that we're looking at headwinds – the headwinds that we're looking at for this year, which are a lot less than last year. We're assuming you'll have a couple more years of that if things remain flat. So as you can see, those are headwinds that we can more than offset by the growth in the earnings that we're seeing in the rest of the business. So if you look at what that means for FMS, it would probably have FMS getting back into their target range probably in 2021. So you'd see improvements in 2020 and then by 2021 getting back maybe into that low-end of that, 10% to 12% range. So you'll start to see really the benefits of the growth that are more than offsetting some of that depreciation headwind. And you should see that creeping back into that range by 2021.
Benjamin Hartford: That’s helpful. Thank you.
Robert Sanchez: I guess one other thing I should mention is, is as it relates to our ROC Spread, as we model this thing out, we believe we can get back to the ROC Spread target of 100 basis points to 150 basis points depending on how the other divisions go. We could probably get there before we get to the bottom end of the FMS target range. So assuming that we can get the supply chain and Dedicated target ranges, which I feel pretty confident we will here in the next year. That along with continued improvement in FMS could get us to that 100 basis points to 150 basis points range on ROC Spread.
Operator: We will now go to Scott Group of Wolfe Research. 
Scott Group: Hey, thanks. Good morning, guys. So I just want to clarify one thing first. The $7, so sort of reduction to book value, should we think about that as just a permanent reduction or just some of that get recouped as the lease accounting changes flow through?
Art Garcia: Right, I think Scott, generally you're going to see that that they're at some level. It's going to move up and down as how the fleet ages. But keep in mind that it deferred revenue, but the cash we received, if we don't own, really the customer anymore services at this point in time. So eventually, as we said, our earnings don't change on an individual lease contract. But over time you're going to have that amount probably sitting there directionally.
Scott Group: Okay. And then Robert, I just want to understand that the 2020, 2021 comments. When you say a similar impact, are you talking about a similar year-over-year headwind or on a year-over-year basis it will be sort of a neutral?
Robert Sanchez: Yes, similar year-over-year impact, right. So what you saw in the waterfall that we're showing for 2019, you should expect something similar to that in 2020 and 2021, yes.
Scott Group: And is that a comment on accelerated depreciation, residual value and vehicle sales or just accelerated depreciation residual value?
Robert Sanchez: That's a comment on the whole thing. So as example, this year we're showing you a $0.38 headwind, should expect the $0.38 headwind next year and then the following year and once we've done that, we'll have parity between our market price and our residual value. Again that's a lot less than what we saw in 2018 because in 2018, we probably had what $53 million twice as much. So definitely we've seen an improvement in that as prices have improved. And also as the impact of all the accelerated depreciation policy changes we're making, it starts to bring that number down. So I feel really good about where we're headed with that because I think if you look at 2018, I think you seek a bit of an inflection point where all the growth that we're seeing from our strategy of multi-years trying to get, growing all of the businesses is more than offsetting these headwinds. So going forward, I see the growth continuing and the headwinds really beginning to subside. So I feel that really helps us feel really good about what we're going to be facing here in the next couple of years.
Scott Group: Okay. Thank you.
Robert Sanchez: Yep.
Operator: Our next question will come from Kevin Sterling of Seaport Global Securities.
Kevin Sterling: Thank you. Good Morning, Robert and Art.
Robert Sanchez: Good morning, Kevin.
Kevin Sterling: Art, congrats on your pending retirement, and I wish you nothing, but the best in the future. I've enjoyed working with you.
Art Garcia: Thank you. You have to appreciate that.
Kevin Sterling: Yes. So Robert just had kind of a big picture question to help kind of judge what we're seeing in terms of trends, if you don't mind, on the commercial rental fleet, are you seeing rental activity extended, saying customers keep in rental trucks over the week and et cetera? And on the leasing side, are you seeing activity extended and lease customers maybe looking to grow their fleet with you? For instance they might have 10 trucks, but looking to grow to 12 trucks, what are you seeing there in terms of rental activity and least activity if you don't mind?
Robert Sanchez: Yes, I'll let Dennis – but I'll tell you rental and lease were both very strong in 2018 and we've seen that really continue into January and into February of this year. So lease sales had been really hot. We had our strongest January this year. So if you remember last year, we said, we had a record month in January for lease sales. Well, this year we beat that record. So it goes to show you things haven't really slowed down from that vantage point. And rental against seasonally comes down in January, but a very strong January in terms of utilization. So I'd say things have continued to look really strong. I think indicative of the freight environment and with an overall healthy U.S. economy.
Dennis Cooke: Yes, the only I would add is that we continue to see new customers come to sourcing till about 40% of our growth is coming from customers who were new to outsourcing. So as Robert said, Kevin, both rental and lease were extremely strong in January, exceeding our expectations and we see the trend continuing from a secular trend point of view more and more people are outsourcing.
Kevin Sterling: Okay, great. Thank you so much for that color.
Operator: [Operator Instructions] We will now go to Justin Long of Stephens.
Justin Long: Thanks for taking my question. I wanted to ask about the 2019 guidance for commercial rental. I think that 10% revenue growth assumption was a little bit surprising, just given the tough year-over-year comp and the recent moderation we've seen in TLs spot rates? Can you just talk through your confidence and visibility in that outlook in addition to what you're assuming for the trend and utilization this year?
Dennis Cooke: Yes. Justin, this is Dennis. I first start with reminding everyone that 40% of our rental demand comes from supporting the lease product. And we're looking at a 7% growth in the number of lease units we have. So I'd start there. And then I'd say that we're – as we look out, we're actually anticipating some softening potentially in the second half with tractors, some slight softening. But it's really good January as we said before utilization is actually exceeded our expectations by about a 100 basis points.
Robert Sanchez: Yes. We're also just what I would add to that is around trucks. As we look at the last couple of years, we have seen – we have had a lot of turn downs in the medium – mostly medium to light duty truck market. And we see an opportunity there with the rise in e-commerce to participate more in that segment of the market. So we are – some of the growth that you're seeing is going to be in those classes as opposed to in the Class 8 tractor class. So that's what makes us more confident and where we're going with us. Again, the other thing I would add is that we've always said that we want to grow our rental fleet consistent with our lease fleet and the two are really planned to grow in both a 7%. So those are in alignment.
Justin Long: That's helpful. And real quick just to help with modeling on that last point. How should think about the quarterly cadence of that 11,000 units of growth for ChoiceLease?
Robert Sanchez: Generally flat. Yes, because if you think about it, some of that is going to come from lease sales that we had in the second half of 2018, as those trucks get delivered. So I would model that out flat, maybe a little bit heavier in Q1 and then flats with a balance of the year.
Justin Long: Okay. That's helpful. Thanks for the time. 
Operator: We will now take our next question from Amit Mehrotra of Deutsche Bank.
Amit Mehrotra: Thanks, operator. Hi, guys. Congrats. So best of luck. I just had a question on the average – the change in the average age of the fleet, maybe how we can think about, how that translates into the headwind or tailwind you get in any given year lease accounting change. So I was wondering if you could help us, embedded in that $0.20 estimate headwind this year. What the expected change in the average age of the fleet would be and given the amount of record leases you're signing? Could that headwind - could that average age continue to shrink in 2020 and that will be an incremental headwind. And then I just have one follow-up as well. Thanks.
Robert Sanchez: Yes. Around fleet age, what we've seen despite the growth in fleet and lease fleet, we saw the fleet age as we talked about on the call. So if I look on a full-year basis, the average fleet age was about 43 months for 2018. That's up from about 41 months in 2017. And as we build our expectations for 2019, we're thinking it's going to drop down to 40. So you're going to see it go back down and that's partly what's driving the change in that lease accounting impact. As far as talking about 2020? Yes, it's possible I think obviously as we grow we're going to have 11,000 units going into 2020. It will depend on what we end up doing for actual growth in that year. But it's possible that it will continue to trend down.
Amit Mehrotra: Got it. Okay. That's helpful. And then just one maybe detailed question on the supply chain business. I don't know if you provided this earlier, but on MXD could you give us what MXD actually grew in the quarter on a year-over-year basis? And then I assume that's having some dilutive impact to the margins of the overall supply chain. I don't know if you can provide a final point in terms of what the margins are in that business?
Robert Sanchez: Yes, we don't provide a breakout of that. We have it within our retail vertical. But it is not creating a whole lot of pressure, I think in terms of topline. At this point, it has grown at a nice clip. And also as I mentioned, margins are generally in line with our supply chain margin.
Amit Mehrotra: Is that MXD, is it a safe assumption to say that that's going to grow kind of 10% to 20% topline organic in 2019 year-over-year? Is that kind of the order of magnitude the correct way to think about it?
Robert Sanchez: Yes, we're looking upwards of 10% to 15%, again, organic growth in the year.
Amit Mehrotra: Got it. Okay, guys. Thanks so much. Appreciated. Thanks a lot.
Robert Sanchez: Thank you.
Art Garcia: Thank you.
Operator: We will now take our next question from Todd Fowler of KeyBanc Capital Markets. 
Todd Fowler: Great. Thanks and good morning. Robert, I was just hoping that you could give us some directional comments on free cash flow. Obviously, we understand that the investment here supports future growth and it's a byproduct of the strong lease writing activity that you're seeing. But as we kind of think out a little bit if lease growth normalized and maybe the normalized level isn't 3,500 units anymore on an annualized basis. But at what point or how should we think about this business maybe generating some level of free cash flow given the investment that you're making at this point?
Robert Sanchez: Yes. Look, I think at this level of growth you're going to be negative free cash flow because we're making major investments. This year we're going to look at $3.6 billion of investment in primarily lease vehicles, which are all backed by contract. So that level of investment will drive negative free cash flow. And if you just look at the history, that growth rate, I don't expect to grow 11,000 vehicles every year in to infinity. At some point that tempers back down. You will start to see positive free cash flow, probably if you look at just our history probably around that 4,000 range, as we grow more, maybe that 4,000 becomes 5,000. But that would be an – that’s a level of growth I think at which you could see positive free cash flow. Other than that, you're really building up a significant amount of operating cash flow with these investments that really pay off over time. And certainly when the market is as good as it's been for us the last few years, in addition to the benefits that we're seeing from all these secular trends, we want to take full advantage of those and bring more people into outsourcing and bring more companies into leasing because we think that in the long-term pays a good returns, not just in one turn of the vehicles, but in many cases over decades when those customers stayed with leasing and continue to renew with us year in and year out.
Todd Fowler: Okay, good. That's actually very helpful. And then just thinking about the gross CapEx guidance this year to $3.6 billion, how much discretion is there in that number? I mean, is that something where if you got into the second half of the year, you have some flexibility with that? And if so, I mean, is that mostly on the rental side or is that something that you feel is pretty locked in at this point?
Robert Sanchez: Yes, I would say, look, it's mostly driven by lease contract signed, right. And we have – I would tell you right now, we have the deliveries that we're getting are through May, so we're locked in through May already with leases that we've signed. So I would say a lot of that is already accounted for with lease sales that we've signed and those that are to come through the balance of the year. The only thing I can do with that, but we have started to push it out a little bit. You might see some of that get pushed into 2020, but I would tell you generally we've got pretty good visibility to that. The rental purchases are mostly coming in early in the year. There's some in the back half of the year that obviously we would hold back if we saw some slowing down, but not a lot. I would tell you, I think that $3.6 billion is really a sign of the amount of growth and success that we're having on the sales side.
Todd Fowler: Okay. Sounds good. Congratulations Art, it's been great to work with you and a nice outlook here today.
Art Garcia: Okay. Thanks Todd.
Operator: Next we’ll go to Brian Ossenbeck of JPMorgan.
Brian Ossenbeck: Hey, good morning. Thanks for taking my question. And Art congrats on the retirement and thanks for all the help over the last couple of years.
Art Garcia: Thank you.
Brian Ossenbeck: So just want to ask one question and a quick follow-up on used vehicles. So could you go into a little bit more detail on this new maintenance program, the zero-based budgeting? It sound like it had a pretty decent effect in 2018, you're expecting more in 2019. Is this what we're seeing sort of in the Central Support Service line was actually down in 2018 even though you've got a decent topline growth going? So just some more context and color around that for both what you expect in 2019 and what you might have realized in 2018?
Robert Sanchez: Yes, Brian, two separate initiatives. One is the zero-based budgeting initiative. We really kicked off in 2018. We had significant savings from that and the good news is there sustainable savings that we see somewhere around $50 million in 2018 from our zero-based budgeting initiatives. We expect the save an incremental amount this year and going into 2019, obvious to a lesser extent, but we're still expecting to save some good money there. In addition to that, we have a separate initiative now, and Dennis is there and I'll let him address it, but it's a $75 million initiative to really get after some of the maintenance costs around our fleet of trucks. As you know, we spend out what $1.3 billion maintaining trucks and this is an opportunity to really help us, initiative help to streamline that. So I'll let Dennis.
Dennis Cooke: Yes, Brian, as Robert said in 2019, we're looking at, at least $20 million of savings and then $75 million over the next three years. And we're really looking at parts procurement, aftermarket parts, productivity in our shops, our out servicing of vehicles and our preventative maintenance practices. So we see a lot of opportunity that we're zeroed in on.
Robert Sanchez: So I would tell you, as your model this out, this is incremental to any maintenance costs benefit we're getting from just technology improvements and getting some of the 2012 out of our fleet. So this is really a productivity and parts procurement, parts strategy type savings initiative.
Brian Ossenbeck: Okay, got it. So it sounds like both of these are in that cost action bucket and the waterfall when you lump them together?
Robert Sanchez: Yes.
Brian Ossenbeck: So the follow-up would just be on the used vehicle. Have you gone through any modeling or sensitivity beyond kind of the baseline outlook here for a bit of softness in the back half of 2019? If we were to remain stable in size, but used vehicle prices went up or down a couple percentage points, can you give us some thoughts around what the sensitivity would be?
Robert Sanchez: Yes, look just – so what we've modeled in there is some softness in this year in terms of pricing primarily in the back half of the year, as more units get to the UTC [indiscernible] more volume to sell. So we're expecting to see some softening in pricing maybe a low single-digit type price, mid single-digit type drop. So that's what's already modeled in these numbers. I tell you that we’re looking at that already and what we put out there. If you just think about it – if you want to model out what, 5% drop in pricing. You look at our total sales proceeds about $400 million, so 5% would be $20 million. It gives you an idea kind of the sensitivities, obviously because the other way then that's a positive.
Brian Ossenbeck: All right. Thanks for the details. Appreciate it.
Robert Sanchez: Thanks, Brian.
Operator: Now we'll go to Jeff Kauffman of Loop Capital Markets.
Jeffrey Kauffman: Thank you very much. Art, congratulations and best of luck, and thank you also for all of the detail and the release today. Very, very helpful, with all the changes going on. I'm just going to ask one question in two parts, the detail and the bigger picture. I thought when you said the 11,000 units, we were talking about all of FMS, but now it's sounding like its 11,000 addition to ChoiceLease and 3,000 addition to a rental. Am I thinking about that right?
Art Garcia: Yes. It should be 11,000, its ChoiceLease, so.
Jeffrey Kauffman: Okay. And then just bigger picture, I mean when I look around the industry, it doesn't seem like a business levels are growing at 7%. So I think you had alluded to it's a lot of outsourcing, 40% from new customers. Where is this occurring, in greater magnitude? Are there particular industries, I'm assuming more private fleet than anything else, but just surprised that the rate of growth, given the volume growth that we're seeing are the unit growth we're seeing in the rest of the economy. Could you shed a little light on that? 
Robert Sanchez: Jeff, I'll let Dennis give you some more color on that. But I'll tell, it kind of I think it illustrates the strength of our business model and once you sold the customer, you don't have locked in that revenue stream, for a very long time. And as that customer renews, you can or grow their fleet, you continue to see a growth from that. So all the work we've done the last six years or so to really try to build up that that contractual customer base. Is sort of what you're, you're really beginning to see the power of that as you look into both the 2018 performance in 2019. So that's really just a little bit of the color is what you see. But I'll let that is give you an idea of kind of where we're seeing some of that growth.
Dennis Cooke: Yes, Jeff. First of all, we're seeing it across the board. I mean transportation and warehousing is up, food and beverage is up, retail is up, and what's happening is more and more customers are looking at the CapEx and the operating expense and what's required from a technician point of view and diagnostic tools. And they're saying, hey, this isn't our core competence and we're seeing more and more of those across the Board, various industry segments who are outsourcing to us.
Robert Sanchez: Yes. I think that the work that we've done around TCO and helping customers understand their costs. Clearly the pain that customers have been through with the technology change has been, although it certainly heard our P&L for a period of time. It has been a godsend in terms of our ability to really convince customers that, hey, it's time to give this to the professionals that really know how to deal with this as opposed to you trying to manage your fleet and maintain your fleet yourself. So I think that's really a big part of how you're seeing kind of breakout growth at Ryder versus maybe what you see and in other parts of the industry and in the economy. So I think, getting that topline grow and is really a key part of the strategy. And now continuing to focus on getting that flowing through to the bottom line as we get past the headwinds of UVS and of the maintenance costs is really what I think has me and our management team very excited about what's to come over the next couple of years.
Jeffrey Kauffman: Well, it sounds fantastic guys. Very exciting and again, Art, I wish I could buy stock and check delay, but I wish all the best in your new ventures.
Art Garcia: Okay. Thank you everybody.
Operator: And now we will go to Matt Brooklier of Buckingham Research Group.
Kyle Robinson: Good afternoon. This is a Kyle Robinson for Matt Brookllier. I was just curious about the elimination of the [indiscernible] I've seen that increase over the last couple of years. So we expect kind of a new running average for that account. And if so what kind of fleet into that line?
Robert Sanchez: Yes. Well the Elimination is basically that's the equipment contribution from the fleet management business to both Dedicated and Supply Chain. So clearly those fleets as Supply Chain and Dedicated has grown. They need more trucks. So that Elimination line has been growing also. So it's really proportional to the number of units that both Supply Chain and Dedicated are using in their business.
Art Garcia: We see better performance and on the lease side, you're going to see some of that flow through also.
Robert Sanchez: That's right.
Kyle Robinson: Right. Thank you. And actually just one more quick one, start the polar vortex of February, talked about it late January so far. Do you think that's going to also positively impact the idea for the first quarter of 2019?
Robert Sanchez: Yes. There's always a little bit of an impact from these unusual changes in temperature. We had one was last year, a couple of years-ago. So they tend to happen in the winter is what we learned even though we're here in Miami. But no I don't see it as being a big impact in the year. Obviously, it creates a little bit more work for us as we have to respond to our customers as their trucks are down, but I don't see that as a big impact.
Kyle Robinson: Great. Thank you. And congrats Art.
Art Garcia: Thank you.
Operator: We now will go to Stephanie Benjamin of SunTrust.
Stephanie Benjamin: Hi, good afternoon. I just had a question and was hoping – can you hear me all right?
Robert Sanchez: Yes, we can.
Stephanie Benjamin: Oh, excellent. I was hoping if you could speak a little bit more about the truck sharing program, maybe if you could give us some color on what you did find after the pilot in Atlanta, there's some big success or even some metrics you’re looking for to drive that expansion into Florida for 2019? Thanks.
Robert Sanchez: Yes. We're very excited about the result of that initially pilot and then really a full rollout in Atlanta. It's COOP by Ryder is the name those of you that aren't familiar, but it's basically an AirBnb for trucks and it's the first and the only one in the market. And it allows customers that have idle trucks to share them with customers who need them. And Ryder is really the facilitator of that transaction. So we really had some nice acceptance in Atlanta and we feel good about that in our – we've been able to kind of work through the friction points, if you will in those transactions, which was a lot of what we wanted to get done in Atlanta last year. So we feel really good about that. We're rolling it out in south Florida this year. And I think once we have those two markets in place and we've really kind of gotten a better feel for how it works, we would be in a position and then be able to decide that we're going to do something more broadly nationally or where we go with it next. I'll let Dennis to give you some more color also.
Dennis Cooke: Yes. Steph, I just wanted to add, we’re all surprised and we're actually getting customers who are new to Ryder trying out COOP. In fact, one customer started talking to us about COOP. We ended up selling them up to both our SelectCare and our ChoiceLease product. So we view this as another on ramp for us into the leasing product or contractual products ultimately. We have had – one other thing that we've had a couple of customers have gone on and bought trucks in order to put them on COOP and put it into a business, which that that really is exciting and that takes off, you could really see this becoming a tool that allows companies to kind of build a little businesses around it. So again, early innings still, but pretty excited about the early results.
Stephanie Benjamin: Great. Thank you so much for the color.
Dennis Cooke: Thanks Steph.
Operator: And we will go to our last question and that will be from Scott Group of Wolfe Research.
Scott Group: Hey guys. Appreciate the follow-ups. And best of luck to you Art. So two things. One on maintenance. So the 11 million headwind this year, I guess 40 million plus combined over two years, does that reverse next year or does that not reverse any more with these new lease accounting changes?
Robert Sanchez: Yes. You won't see it – you basically see it go away, right. So you've had – we're at 12 million this year that'll hit us. And as we go into next year, the units are out of the fleet and we expect that to go away. Now you will be getting over time as you get more of the newer units, more of the newer units coming in and the older units going out. We're going to have gone from a period where each year maintenance costs were really a big headwind. So now we're really – each year they should become a tailwind because we get into periods now where each model year that comes in is a better performer than the model year that goes out. So that's the tailwind that we expect over time over the next several years for us to be able to see in the results. But it isn't like all of a sudden those model year 2012 units aren't going to give us money after that.
Art Garcia: Okay. Scott, this reflects the incremental expense associated with those units, not really their age, if you will. So it's not really associated with lease accounting.
Robert Sanchez: With lease accounting, right.
Scott Group: But just so I want to understand when you say…
Art Garcia: Go ahead.
Robert Sanchez: Go ahead.
Scott Group: So I just want to understand when you say go away, do that mean it’s a year-over-year tailwind next year?
Art Garcia: No impact next year. No impact next year.
Scott Group: Okay. And then the…
Art Garcia: Let me just mention one other thing on the lease accounting because I know that there was a lot of angst around it. At the end of the day, it would be look at what we're putting out there. It's a $0.20 to $0.25 impact plus or minus depending on what's happening with fleet age. So, my goal here is, first of all, I think it's a good thing because this will stabilize earnings going forward as you get years where the fleet gets a little bit older, a little bit younger, you're going to lose that variability that we used to have an earnings. So I think that is a very good thing. And I would expect this thing to just not be a big topic of conversation after this year because it's just built into the results. So I think we've uh, as we get the white paper out and you get a better understanding of that and we get a chance to kind of go through it, that's sort of the way I think everybody should look at it.
Scott Group: Okay. And then the fleet growth, that 11,000 – is that an average or a year-end? And I guess what I'm trying to understand is you talked in the bridge of $1.10 benefit from lease growth. Like what do you think is like the, with the full 11,000 units, what's like the run rate when you exit the year that a $1.10 and is going to be higher, but sort of way to just think about what like the exit run rate is on that fleet growth?
Robert Sanchez: I guess the way you could model it, Scott, we'll wait a month. Just look at our, look at our gross margins on lease and rental, a general idea, and now with lease counting, you no longer as big a pop when the new vehicles come in. So you're going to be kind of at that average margin over the life of the vehicle. So 11,000 times that would give you a kind of a ballpark as to where it should come in.
Scott Group: Okay. That makes sense.
Robert Sanchez: Yes, $11,000 is kind of, if you think about it is ratably over the year, but you also have the follow through of the 2018 growth. So you kind of could argue that's half of that is kind of your look forward because that's really what's left if you think about? 
Scott Group: Okay, very helpful guys. Thank you. 
Robert Sanchez: Thanks Scott.
Operator: At this time there are no additional questions. I'd like to turn the call back over to Mr. Robert Sanchez for closing remarks.
Robert Sanchez: All right, thanks everyone. Thank you for getting on the call, side to get out there and spend some time with you over the next several months. We get out to some of the conferences and again wanting to do a final, thank you to Art. I know this was his last call. So you wonder, it makes you guys had a lot of paper and a lot of documents. We got a lot out today, but again, wish him all the best and thank him for as many contributions. Thanks everyone.
Operator: And that concludes today's conference. We thank you all for your participation.